Operator: Greetings, and welcome to the Graham Corporation Third Quarter Fiscal Year 2015 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the conference over to our Host Ms. Pawlowski, Investor Relations for Graham Corporation. Thank you. Please go ahead.
Deborah Pawlowski: Thank you Melisa and good morning everyone. We certainly appreciate your time today. You should have a copy of the news release detailing Graham’s results that was across the wire this morning. We also have slides associated with the commentary that we’re providing here today. If you do not have the release or the slides, you can find them at the Company's Web-site at www.graham-mfg.com. I should also note that we did put out press release yesterday after the market close regarding our dividend and new share buyback program. On the call with me today are Jim Lines, our President and Chief Executive Officer; Jeff Glajch, our Chief Financial Officer and also Karen Howard, Investor Relations. Jim and Jeff will review the results for the quarter and the first nine months of fiscal 2015 as well as our outlook. We will then open up the lines for Q&A. As you are aware, we may make some forward-looking statements during this discussion as well as during the Q&A. These statements apply to future events and are subject to risks and uncertainties as well as other factors which could cause actual results to differ materially from what is stated on the call. These risks and uncertainties and other factors are provided in the earnings release and in the slide deck, as well as with other documents filed by the Company with the Securities and Exchange Commission. These documents can be found on our Web-site or at www.sec.gov. So with that, I'm going to turn the call over to Jim to begin. Jim?
James Lines: Thank you Debbie, good morning everyone. I will begin our prepared remarks of slide three. Our strategy is straightforward. It is to expand earnings by increasing market share, reducing the impact of cyclicality, and deploying capital to strengthen and diversify revenue streams. We are committed to capturing greater market share, regardless of market conditions, be it refining, petrochemicals, power, or naval markets, our position in these key markets can be stronger and market share greater. We have expanded execution capacity and production and order processing in order to support this strategy. Our team has done well to more than double what we referred to as our predictable base. By developing a higher level of predictable base business, we have expanded earnings throughout an economic cycle and dampened the effect of the cyclical pattern of refining and petrochemical markets, which will reduce earnings volatility during market contraction phases. Cash flow from operations is consistently strong, and more than $60 million of capital is on our balance sheet to fund organic and acquisition growth investments. Strategy and resources are concentrated on doubling our business to exceed 200 million in revenue. That is what we have set as the next major milestone for our long-term growth trajectory. Please refer now to slide four. Third quarter results were solid and in line with what we expected. Revenue for the quarter was $33.6 million, up 44% from the same period last year. I must take a moment to highlight that this level of revenue and what was achieved in the second quarter is a direct result of investments made ahead of demand. Timing was perfect and execution of investment decisions for personnel, equipment, and facilities were accomplished extremely well by our teams. Our revenue was driven primarily by conversion of oil sands and petrochemical projects destined for North American end-users. You may recall in the first half of fiscal 2014, there were strong orders for North American chemical industries, and several of those orders were in production during the third quarter. Net income was $4 million dollars or 12% return on sales. The positive effect of our expanding capacity and corresponding increased throughput translated into top-tier financial performance. This level of profitability illustrates operating leverage and corresponding profit drop down from incremental revenue as a result of the previously mentioned investments. Fiscal 2015 revenue and gross margin guidance are reaffirmed to remain within ranges provided in October. Moving on to slide five, refining industry sales were $12.8 million, modestly above one-third of total sales. Replacement and upgrading equipment were significant in that total. Our global installed base is vast and provides substantial recurring revenue opportunities. Greater than 50% of sales to refining markets were replacement or upgraded equipment. Chemical industry sales were $9.4 million, of which the vast majority was for North American new capacity, stemming from investments driven by abundantly available low-cost natural gas. Power industry and other commercial and industrial markets that include work for the U.S. Navy, each comprised 16% to 18% of quarter’s sales. Domestic sales were up 26% to $18.3 million as a result of the strong chemical industry and new capacity investments I just mentioned. Please move on to slide six. This slide depicts the progression of increasing the level of predictable base and less cyclical sales on our business. Our team has moved this from what had been approximately $20 million per year to greater than $50 million for the trailing four quarters ending this past December. Strategies for aftermarket, short cycle orders, and the long-lived orders for the Navy, each contributed to this improvement. The impact of these strategies benefits profitability throughout economic cycles, however, during cycle contraction is when the value of this improvement is most important. Earnings volatility will be reduced enabling us to continue to invest in growth just as we did in fiscal 2010 through fiscal 2013 during that market pullback. I'm going to pass the discussion over to Jeff to go through the financial results in greater detail. Jeff?
Jeff Glajch: Thank you, Jim and good morning, everyone. I'm starting on slide eight. As Jim mentioned Q3 sales were $33.6 million, up 44% compared with $23.4 million in last year's third quarter. The sales split was 55% domestic and 45% international compared to last year's third quarter which was 62% domestic and 38% international. Gross margins were up 400 basis points to 30%, the EBITDA margin was 18% for Q3, up from 11% last year. Q3 net income and EPS was $4 million and $0.39 respectively compared with $1.4 million and $0.14 in last year's third quarter. On the slide nine, looking at our year-to-date results, year-to-date sales were $97.7 million, up 28% from $76.1 million in the first nine months of last year. Year-to-date sales are more heavily weighted for domestic opportunities this year at 64% domestic, 36% international compared with 57% domestic and 43% international last year. Gross profit has increased 19% to $29 million, though gross margin is down 230 basis points to 29.7%. The higher gross profit of course is driven by increased volume, although lower gross margin was impacted by a very strong product mix in the first half of fiscal 2014. SG&A was $13.6 million in the first nine months of the year, up only 5% when compared with the first nine months of last year as we have leveraged our overhead base quite well this year. SG&A as a percent of sales is at 13.9%, down from 17% last year. EBITDA margin increased 40 basis points to 17.6% in the first nine months of this fiscal year, primarily driven by the improvement in SG&A leverage, which I just mentioned. Net income has increased 35% to $10.6 million, up from 7.8 million last year, EPS was up to $1.4 from $0.78 last year. On the slide 10, as Jim mentioned, our cash position is quite strong at $62.5 million, up from $61.1 million at the start of the fiscal year, though down sequentially from 64.8 million at the end of last quarter. This near-term decrease is simply timing of projects, and we expect that to reverse in the fourth quarter. We expect to have a strong cash flow in the fourth quarter. As you can see, we've also increased cash flow, cash over the first three quarters of this year, despite having spent $5 million dollars in capital, most of it to expand at Batavia facility. The benefit of this expansion has already been seen as we have increased loading in our plant as this year has progressed. With our strong ongoing cash generation yesterday, the Board of Directors authorized the doubling of our dividend to $0.08 per quarter and $0.32 per year. This is our third consecutive year in which we've increased the dividend which was two $0.02 per quarter prior to 2013 has now fourfold from that to $0.08 per quarter. Additionally, the Board of Directors authorized the share repurchase program of up to $18 dollars. We believe that these two capital utilization announcements confirm the strength of our conviction of our long-term strategy, the solid nature of our balance sheet and very importantly the predictability of our ongoing cash flow. Even with the increased dividend and share repurchase program, we are very confident that we have sufficient capacity, whether it be cash or debt availability to continue to pursue our acquisition strategy. Jim will complete our presentation and comment on our outlook for the rest of fiscal year 2015.
James Lines: Thank you, Jeff. I am now on slide 12. We observed the change by our customers this past quarter that slow pace of orders. We felt this change by the refining and chemical industry customers at the rapid abrupt decline in crude oil set in. We expect to experience ongoing order volatility from refining and chemical industries. We do not, however expect much change from our power navel markets. Orders from the quarter were $22.6 million and they were equally balanced between domestic and international orders. Backlog declined sequentially approximately $11 million. Importantly, a pipeline of opportunities remains elevated and consistent with recent activity levels. Moving on to slide 13. Backlog is diverse and well balanced across key markets. While down sequentially, I'm pleased by the quality and strength of our backlog, 37% of backlog is for refining markets, 23% for the chemical industry, 21% for naval markets, 11% for the power markets. Backlog conversion is 70% to 75% over the next twelve months, 15% to 20% 12 to 24 months out and 5% to 10% beyond two years. Importantly, approximately one-third of backlog is from customers or markets not served five years earlier. Slide 14, we confirm that revenue will be in the upper half of the $125 million to $130 million range. Gross margin will be between 30% to 31% for the full year, SG&A will end the year between 14% and 14.5% of sales and our tax rate is expected to be between 32% and 33%. Melisa, please open the call now for questions. Thank you.
Operator: Thank you, at this time we will be conducting a question and answer session. [Operator Instructions]. Our first question comes in the line of Jason Ursaner with CJS Securities. Please proceed with your question.
Jason Ursaner: Good morning. Obviously, a lot of focus on oil, and you are very cognizant that the decline in prices clearly had an impact on orders, but just overall at high level, maybe you could talk a little bit about what you see this doing to the long-term cycle and obviously not asking you to call bottom on oil or anything like that, but as we do see capital spending coming in, in some of the major oil companies, does this push out some of the cycle you have been hoping to see especially in the petro-chem side or is it more just leaving it sort of open-ended at this point.
James Lines: To be candid, this is so recent. The last quarter has been rather dramatic if we think about the drop in oil. That was quite precipitous about two months earlier. So we're all, all of us, we are all trying to ascertain and then have a better understanding of the near-term and long-term implications of this. If I think about the underlying fundamentals, what drives demand for Graham, this is a more of a long-term, Jason. I don't see change. Energy intensity, growing population, developing emerging economies, feedstock diversification, all those drivers in our petro-chem and refining markets still are intact long-term. And also importantly, Jason as it relates to Graham and the diversification strategies that we undertook three or four years ago, we now are less concentrated in those two key markets with the addition of our naval strategy and with the addition of a stronger power segment, but I know this question, most of the focus is on our oil markets and petro-chem markets, but clearly there are some near-term headwinds that we all are trying to understand. I can't really comment, just as you said, I can't call a bottom for oil, but I would know how to do that, but what I can say is, we are focused on outhustling our competition, serving our customers better than our competition, doing our engineering, our fabrication, all those things that Graham does extraordinarily well will stay focused on regardless of the market environment we intend to take market share and will drive through this pullback whatever the duration is and come out of this pullback stronger.
Jason Ursaner : Okay and just maybe following up on part of that answer, on the other side of it, the things that are in your control, clearly you are not really getting a lot of credit for it, but maybe more specifically, maybe you could just talk about what you're seeing in fabrication, execution, some of the existing projects and then the potential CVN 80 bidding, the submarine program, and you alluded to the nuclear market as well.
James Lines: Sure. That's how—clearly, there is a very difficult external environment, but the way we've always thought about our business, our job is to control to the utmost, what is in our control, that's how we sell, that's how we execute the orders, that’s how we fabricate, how we focus on productivity and quality, and I just think about the remarkable performance year-to-date and how this year will finish up compared to the prior three years thinking about what our guidance is and using the midpoint, about a 25% lift in top line, none of it from pricing, all of it from volume and our business or operations team, the entire team is just driving this business really well. And I can say this past year, we elevated our performance and thought differently and acted differently than we had in my tenure here, and it's been a remarkable accomplishment. I know it's not immediately being reflected in our market price, but I think there is external -- market value, there is external factors there, but when I think about this long term and what we've just done as a team is remarkable and it sets us up for success as we drive through this pullback.
Jason Ursaner: Okay and just last question from me, the share repurchase authorization, you offered some of the conviction in cash flow and obviously understanding the macro is an uncertainty right now, how should we balance the cash flow, the sizable cash balance on the balance sheet and just how aggressive are you like would it be with some of the authorization there?
Jeff Glajch: Jason this is Jeff. We are still in the process of structuring out the repurchase program that we just authorized yesterday. Relative to the -- also to this authorization program, again $18 million, it is the less than 30% of our current cash position. We expect our cash to continue to increase, and so as I mentioned earlier we are quite excited about the opportunity to look for acquisition opportunities, particularly in this market pullback time period where perhaps valuations will get a bit more reasonable.
Jason Ursaner: Okay I will appreciate that. I will jump back in queue. Thanks guys.
James Lines: You are welcome.
Operator: [Operator Instructions] our next question comes from the line of Brian Rafn of Morgan Dempsey Capital Management. Please proceed with your questions.
Brian Rafn: Good morning, guys.
James Lines: Good morning, Brian.
Brian Rafn: I hope you guys running a no show business being out of New York [indiscernible] get pounded, so my thoughts are with you. Can you give us a sense, a little bit Jim may be relative to kind of what the pace and cadence of your short cycle order businesses kind of how, how you see business, how the business is falling through, is it getting tougher, are the bids getting more competitive, just on the short cycle side.
Jeff Glajch: The short cycle actually has held up well I mean the short cycle is certainly some of our aftermarket work. So as we think about that period over period or sequentially it has been radish call which has been encouraging and not has the volume but not meaningful amount, the margin has held as well. So that's a very good signal at this point. I can't point to any directional changes because I don't see them up or down with our short cycle work. It's holding very strong and very steady.
Brian Rafn: okay, okay, little bit more maybe a strategic question for you Jim, relative to your kind, the infrastructure and the throughput efficiency, the capacity that you guys put in that you have for your $200 billion kind of sales goal. As you go over the next five to 10 years, is the capacity Graham at Batavia sufficient to go beyond that 200 million or when you set up kind of the next three to five year plan after you reached at 200 million that really require another kind capacity addition adding manufacturing at Batavia.
James Lines: I I think about, that's a great questions and as I think about it today for the status quo perspective a our operating efficiencies, our productivity and where our equipment to produce our products are today, I believe the roof lines are sufficient in Batavia and Lapeer supplemented by our degree of outsourcing which is somewhere between 10% to 15% generally to drive beyond $200 million. As I think about how we've been addressing through constraint management and are focused on productivity and throughput lead-time reduction, I believe three or four years forward continuing with the hard-work that our team has been doing in those areas, we can push that volume even farther.
Brian Rafn: okay, alright, good spirit. Good, I appreciate that. I got on the call a little late and I didn’t hear your opening, from my application on the naval strategy, you can follow the U.S. Navy military side and various websites and publications, but as it applies to you guys, in the last quarter have you had any developments or made any progress on either the [indiscernible] as it applies to you guys?
James Lines: We commented I think it was two conference calls ago that we what have bids in the pipeline for that type of work and at that time I suspected that those orders would close in six to nine months and I still expect that occur. So we are actively in the bidding process.
Brian Rafn: Okay, okay, and then has there been any, in that bidding process on the carrier side Jim [indiscernible] enterprise have they done anything relative to that because I think you guys, correct me if I am wrong, you got some work on the Kennedy CBN79, is there anything on the enterprise is that still open for bid for to develop further going forward.
James Lines: You are correct, we do have work on CBN79 that's backlog now and it has been since May 2009. Initially the carrier programs were envisioned, a new generation of carrier,7980 to be built on five-year centers what we're seeing now with some budget constraints and also how the navy is thinking about their fleet or vessels. it might be more or like six to seven year sentence between 79 and 80. So we haven't begun to see any real bidding activity for 80 yet.
Brian Rafn: Okay. While initially that was three to four years going to back to budget, okay. So 86 standing out, a good answer. Let me get a question to Jeff, you guys added your treasury repurchase program 80 million you talked about, what is kind of your philosophy behind that is that some company use it to immunize option advance, other company is using more as a catastrophic safety net for [indiscernible].
Jeff Glajch: Brian, you broke up a little bit there but with regard to our philosophy, it is really not only to offset option issuance or restricted stock issuance because that’s not a significant number from Graham. Rather, we look at it as a way to return some cash to shareholders and as I mentioned earlier that mechanics around how we are going to proceed with this are being developed currently.
Brian Rafn: Okay and then just one another question relative to that, as you guys talk about treasure repurchase, are there any worries I mean one of the things we have [indiscernible] that also go into your thinking relative to how much you guys would actually repurchase.
Jeff Glajch: Yes, it does.
Brian Rafn: Okay, alright guys. Thanks so much. I appreciate it. Good job.
Jeff Glajch: You are welcome.
Operator: Our next question comes from the line of Chase Jacobson with William Blair. Please proceed with your questions.
Chase Jacobson: Good morning. So couple of questions on margins, first you know the SG&A was a little bit lower this quarter, when talked about lower selling commission, the new comments on and then also on the gross margin, I was surprised that came down sequentially given the favourable mix and that the fact that I think that some of those lower margin projects last year are complete or at least near completed, what was going on that with the gross margin and should we still expected to pick up and I think your guidance implies and it does pick up in the fourth quarter but are we still going to see a ramp in gross margins over the next few quarters at a better priced projects flow through.
James Lines: Regarding the gross margin, we still have some orders in backlog that were own 15 or 12 months ago but let me just give you perspective from June through December ’13 we talked about $90 million. We still have $25 million of that work in backlog as of 12/31/14. Some of that work, we took defensive action to reserve our market share or to keep low cost international competition out of key customer accounts. Those decisions are still in backlog to an extent and they still will be in backlog through our fourth quarter and into a bit of our first quarter. Now what is actually happened and as we talked about when we win this business is they all came too fast, they would probably executed within the timeframe that were outlined by our customers and that that indeed played out as we thought [inaudible] still have that work in our backlog, [inaudible] work in our backlog, I am very happy we won those orders but we are still dealing with the margin compression that is a result of those types of orders, and they are in our Q4, and is still a little bit into our Q1. And on the -- Jeff, you want to handle the SG&A?
Jeff Glajch: On the SG&A, with regard to when we spoke last quarter around perhaps commission is being higher in the second half of the year that did not occur as much in the third quarter as we had thought might. However, if you look at our guidance for the year, given that we are a little below 14% as a percentage of revenue for SG&A, and we are having a guidance of 14% to 14.5%, that little bit of a step up might occur on a percentage basis in the fourth quarter, not dramatic, a little bit in the fourth quarter. So we would expect SG&A in the fourth quarter that could be a little bit higher than it has been as a percentage of sales on a year-to-date basis.
Chase Jacobson: And then on this predictable [inaudible] considering that any how it has grown at a pretty good rate here, can you remind us how that is or is not reflected in the backlog?
Jeff Glajch: It is in the backlog in a couple of different ways. Part of it is what we call our short cycle backlog that typically comes in and out within a quarter, maybe 4 months and that is somewhere under $10 million at any given point in time. That segment of the short -- of those are predictable base. Also in there is the neighbour work. And that’s for long-lived backlog. That becomes predictable once we’ve booked it, it’s in our backlog, we have [inaudible] through the conversion cycle that looks up unpredictable base, and is also not aligned with the oil and petrochem technicality. So those are the key things as well as the power, the energy, steel, aftermarket segment is in as well. Add those up and some of our other small product strategies that takes us from what has been a twentyish million dollar type of segment in our business to something around $50 million for the last four quarters. It’s been a great strategy and really appear more important at points of market pullback as that predictable base is elevated to the extent that we just talked about. That’s usually helpful to reduce earnings volatility, that’s what the intent of the strategy -- which was the intent of the trajectory to dampen the cyclical nature of our earnings so we could invest and stay strong to a downturn and be opportunistic and come out of any downturn stronger.
Chase Jacobson: Okay, and just one last one. Jeff, I would relate to this share repurchase. I certainly understand that your term market price is not reflecting the long-term value, but share repurchase has always been at the lower end of your priority list for capital allocation. I was a bit surprised to see it here. What’s the reading from this as it relates to your acquisition strategy and the acquisition pipeline at this [inaudible]. I would imagine that there is some good prices out there in the market. So any comments around that would be helpful.
Jeff Glajch: Okay, with regard to our acquisition strategy, it doesn’t change it at all, again it’s about 30% of our current cash, less than 30% of our current cash balance. As I mentioned in the prepared remarks I expect a strong fourth quarter, so our cash balance at the end of the year excluding this repurchase should be up meaningfully from where it is today. And as we look into fiscal 16 from a cash perspective we continue to expect to be generating strong cash. So the amount of this buyback is meaningful in the stock perspective. It does not dramatically impact our overall cash position. So [inaudible] amount of cash on top of that as we’ve talked in the past we have a good debt capacity level should we need to use it. So we don’t look at this, while this is certainly a use of some cash. It could’ve been used for acquisition. We don’t look at it really is competing with that strategy at all. And to your question on pricing, we are starting to see some improvements in the price of opportunities, the cost of opportunities, but again it’s a relatively recent phenomenon within the last few months. And so have to see how that pans out. If there are potential opportunities, if sellers have readjusted their expectations or if they are still holding onto to elevated expectations; but it does look like prices are coming down, certainly in our sector for opportunities. [inaudible] comments and also elaborate a bit. Capital allocations, the priorities are still as they were on funding growth, be it acquisition related growth or investment in driving our existing businesses. And as we’ve done a scenario analysis of the repurchase impacts as well as our cash flow analysis over the next three or four years, along with the probable size of transactions or acquisitions this does not in any way affect or change our focus on growing this business. And to deploy capital on this matter when It’s Appropriate to do so to repurchase shares, but by no means and we went through this analysis quite deliberately over the last several months to make sure, through the scenario analysis we did were going to still drive this business [inaudible] strategy and those are the priorities for capital allocation, and this is secondary.
Operator: Our next question comes from the line of Ric Ryan with Dougherty, please proceed with your question.
Richard Ryan: A question on the backlog, it looks that 7.8 million, that has been on hold is still there, release date calendar 2015. Has that slipped to your expectation for the release of that, has that slipped in? Can you kind of discuss what bucket that is in? Is that a refining, or petrochem or something else?
James Lines: Sure, that that order is for Canadian oil sands and in addition to that order we’ve secured another one which is not currently on hold however this order that you referenced in the second one we’re watching very carefully because there is a susceptibility to that second order being placed on hold due to the current environments for how the oil sands companies are seeing their cash flows. So we’re watching that. In total those two orders are somewhere between $8 million and $10 million in total. One window on hold, the other one we’re watching very carefully, and the bucket they are in is oil sands. And I don’t think there are subject to cancellation or cancellation risk. I believe they will just simply be slowed down.
Richard Ryan : Sure, any other portions that you’ve seen in the backlog?
James Lines: Not as it relates to the backlog other than the comments I made during the remarks to Chase’s question which we had expected, which was the first to the right of backlog conversion of that surge of work we had for the North american petrochemical orders. That really is not related to project risk or price of oil. That was just the practicalities of the supply chain being rescued, all that business in a short period of time. So other than that, other than the two that I have just mentioned regarding the quality of backlog or backlog risk, we haven’t identified concern at this point in time.
Richard Ryan: What are you sensing on the power side maybe specifically in the nuclear outlets?
James Lines: There we still remain very optimistic longer-term. As i mentioned in the last conference call that were not market limited. So our focus on the management team in energy steel is to open up that the funnel of opportunities, so we see more opportunities take share because I believe there is rich opportunity to grow the business admittedly and a large degree of frustrating at this point it’s been a range bound business since we bought it, and hasn’t really grown. However, it’s been an important contributor to our bottom line and topline, but we haven’t been able to break through the range over the last four years. However, and again I will leave it with this, we are not market limited. We need to resolve channel management and access to the customer. And we have individuals that are assigned that task.
Richard Ryan: Definitely that can be achieved internally? Or is that something in the M&A side that could help move that ball faster?
James Lines: Certainly the latter is a possibility. The resources and the investment in personnel have been on the internal side.
Operator: Our next question comes from the line of John Bair with Ascend Wealth Advisors. Please proceed with your question.
John Bair: Kevin and Jeff, I was wondering if you -- I know it’s a little bit early here with the crude prices dropping down quite a bit, but I’m wondering if you’re seeing any indication of a pickup in interest or bids from areas or countries that are net importers in the sense of expanding their infrastructure for energy, petrochemical, power activity? You see anything in that regards yet?
James Lines: Not yet, again this external environment really just came out in last 2 to 4 months. So it’s quite recent and it was extremely precipitous and abrupt, so we haven’t really seen a change in our bid composition. However, I think the question -- I’ll try to answer it this way. The implication of lower crude oil affects our customer segmentation differently. We don’t believe there’s any meaningful impact on our customer segment that’s related to [inaudible] strategy or the power strategy. As it relates to our customers and oil refining, for petrochem markets they are affected differently. A state-owned refiner that has an energy resource such as oil is impacted significantly by what’s going on. A multinational integrated company that has E&P, explanation of production, refining and downstream assets; we believe they are going to be affected in the downstream assets because of -- little bit on cash flow from [inaudible] divisions. For an independent refiner that takes that crude feedstock as an import, they are going to benefit from of course lower cost of that import. And then the same type of scenario analysis or discussion pertains to the petrochem market depending upon are they part of an integrated oil company or are the independent petrochemical company. So it does affect us differently across our customer segments. What’s important though to bear in mind is as Graham has diversified over the last four years five years we bought about Graham historically our market concentration in oil refining and petrochemical was approximately 75% to 80%. If we think about ourselves today as an approximate number that concentration is more in the range of 50%. Still fairly concentrated but not to the degree we were before. And again the predictable base strategy is to drive that higher, the diversification strategies, those all were intended to support Graham through the cyclical pattern of oil refining in petchem, so when there are pullbacks Graham’s profitability is strong and vibrant and we were taking action during downturns to invest in growth and diversification and acquisitions to come out of any downturn stronger. The worst thing we want to do is not take advantage of what a downturn provides us which is opportunity, to come through it stronger. And think I have answered your question. And I added a little more.
John Bair: And one other add-on to that is historically if I recall activity in South America is not that significant in portion of your business, or are you seeing any opportunities to expand your presence in activity in that area.
James Lines: South America has, you’re right, historically sort of been under the radars, but it has represented between a minimal amounts, to approaching 10% of our sales. We had a very good South American component actually this year, in terms of our sales and incremental profitability from that. We had a number of bids in our perspective opportunity pipeline that are for South America, for Venezuela, for Colombia, for Ecuador, Latin America including --Pmax., very significant projects in our core areas and we have fantastic long-term relationships with many of these. These are national oil companies. So that's a sense of strong optimism, longer-term. I'm a bit more concerned about those opportunities converting in a timeframe I thought they would convert six months ago to how I think they might convert now, I believe they are going to push, push out because of how low oil prices affects those nations.
John Bair: I think it’s dependent on how low this level either goes or whether we stabilize out and come back up again and with the timeframe on that is, with regards to to your comment on Pmax, any sense there with the change in their outlook or bringing in outside companies to help them rejuvenate their industry, their energy exploration in the industry? Is that using -- you are seeing any effect to that or potential more dialogue.
James Lines: Sure. We do view that very positively and we should be a benefactor of that longer-term. What, again as I remarked a moment ago, we have a number of very significant bids for the Latin American countries, Mexico being one of them, our sales people have been in those territories most recently as this past week and managing those accounts, updating our situation on the opportunities. I do feel my judgment is those projects will likely slow down because of the impact of incoming revenues for those countries tied to lower cost oil.
Operator: Thank you. Our next question is a follow up from Brian Rafn. Please proceed with your question.
Brian Rafn: Yes, just kind of a high-level strategic question, given some of the political uncertainties, you know Iran with its nuclear program, Russia and the Ukraine, China with its Anti-Access Area Denial, what is your sense of the tone of geopolitical politics impairing order rates of some of your international business versus the last couple of quarters? Are we in a steady state? Is it getting worse, it is getting tougher, is it being delayed? I'd like to hear your comments, kind of quarterly on that.
James Lines: That's a big question. I would say we haven’t, on the geopolitical front noticed anything that I would say materially changes outlook simply because of the geopolitical front. You know we do certainly visit geopolitical because there could be an underlying geopolitical aspect to the price of oil that does impact Petro-States significantly. And we do have a lot of business annually 10 to 20% that is tied to Petro-States, or we could argue is that a geopolitical strategy? I would say yes. So I think that has an implication potentially but again Brian this is so new, we're all trying to just catch our breath, do the scenario analysis and understand directionally what it really will mean and who and how [inaudible] to be impacted. I haven't given you a great answer, but that's the only answer I can give to you right now.
Brian Rafn: No, I think that's a fair answer. You're not [inaudible] anything changed, that's kind of what I was looking for. Let me ask you another strategic from the standpoint of the refinery industry. We heard a lot of guys talking about the renaissance in oil exploration in the United States, we source about 10 million barrels, we use about 21, 22 and a lot of companies have come out, so we're going to be in a parity by the early 2020s. On the slide as it applies to you guys the refinery site you hear stories about why we haven't build refineries since late 70s. Is there some point where we get to a point where the refinery industry really has to start putting on new plants or can they constantly, just get us by with the next level of maintenance?
James Lines: . Well, they've done very good over the last 40 years. I think the last refinery was in 1976 to maximize what they can get out of the existing assets. However, the comments about new refining capacity not since 1976 can be a bit of a misrepresentation because if we think about the investments done by Multiva[ph]. Think about the investments done by Marathon Garyville; adding each 300,000 barrels per day of new capacity at a Brownfield site. To me that's a new world scale refinery that was put into North American refining asset base, but not considered new refining capacity. To us it felt the same as a new refinery, same order opportunity, so there is a bit of an accuracy or inaccuracy depending upon how you want to interpret it. But we've seen capacity creep Brownfield capacity expansion in the North American market, Graham lives very well on the North American refining base. Whether it's revamped, debottleneck, capacity creep, destock diversification or what I would refer to as new capacity and I do refer to the Multivan investment and the Marathon Garyville investments as equivalent to new world scale refining capacity.
Brian Rafn: And then just one for Jeff. Have you seen any detrimental change in multiples of EBITDA on some of the deals obviously, the oil thing again is kind of a shortening it’s -- it's just capped a little in the last quarter. Have you seen maybe anybody pull the oils or opportunities that you guys might be looking at, obviously as [inaudible] come down, more attractive for you, but then sometimes the sellers you know vacate the transaction. I'm just kind of wondering what you're seeing?
Jeff Glajch: Again, things are so new, there is really nothing meaningful to report at this point. This is really been the -- as Jim mentioned this is really, although prices of crude oil had been dropping since the summer, the real meaningful adjustments started happening after around Thanksgiving or so, so at this point it's really too early to tell anything.
Operator: There are no further questions at this time, I'd now like to turn the floor back over to Mr. Lines for any final comments.
James Lines: Thank you, Melissa. We appreciate the questions today and your interest in Graham. We'll have another conference call I think the end of May and we will update you on the year-end results and our outlook at that point in time. As you've heard from our remarks and via our press release, we're very optimistic about our long-term outlook for the company. Share repurchase program and the step up of dividend are strongly strong convictions about our long-term view of where this company is going in our cash generation capabilities and our performance in this first three quarters of 15 is indicative of the operating power of our business, and that we did investments to expand capacity at the right time. The team did those investments extremely well and the leverage we’re planning from those investments has been extraordinary. So we're very optimistic, we'll manage our way through whatever a pullback might occur in our intent is to come out stronger and we'll update you quarterly and on the next conference call. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.